Operator: Before we begin, I would like to remind you that this conference call may contain forward-looking statements with respect to the future performance and financial condition of Civista Bancshares, Inc. that involve risks and uncertainties. Various factors could cause actual results to be materially different from any future results expressed or implied by such forward-looking statements. These factors are discussed in the company's SEC filings, which are available on the company's website. The company disclaims any obligation to update any forward-looking statement made during the call. Additionally, management may refer to non-GAAP measures, which are intended to supplement, but not substitute, the most directly comparable GAAP measures. The press release, also available on the company's website, contains the financial and other quantitative information to be discussed today, as well as the reconciliation of the GAAP to non-GAAP measures. This call will be recorded and made available on Civista Bancshares, Inc.'s website at www.cibb.com. At the conclusion of Mr. Shaffer's remarks, he and the Civista management team will take any questions you may have. Now I will turn the call over to Mr. Shaffer. Thank you.
Dennis Shaffer: Good afternoon. This is Dennis Shaffer, President and CEO of Civista Bancshares, Inc. I would like to thank you for joining us for our first quarter 2025 earnings call. I am joined today by Richard Dutton, SVP of the company and Chief Operating Officer of the bank; Ian Whinnem, SVP of the company and Chief Financial Officer of the bank; and other members of our executive team. Chuck Parcher, EVP of the company and Chief Lending Officer of the bank, is on vacation. This morning, we reported net income for the first quarter of $10.2 million, or $0.66 per diluted share, which represents a $3.8 million or 60% increase over our February and a $275,000 increase over our linked quarter. This also represents an increase in pre-provision net revenue of $4.3 million or 47% over our first quarter in 2024 and a $1.4 million or 11.9% increase over our linked quarter. Core deposit funding continues to be a priority, and we were pleased that our deposit funding, excluding broker deposits, grew organically by over $67 million during the quarter, which allowed us to continue reducing our reliance on brokered funding. We believe this shift toward more relationship funding contributes to the overall value of our core deposit franchise. I continue to be encouraged by our ability to remain disciplined in pricing both our deposits and loans through this interest rate cycle. Net interest income for the quarter was $32.8 million, which represents an increase of $1.4 million or 4.5% compared to our linked quarter. The increase was attributable to our earning asset yield increasing six basis points to 5.71% and our overall funding cost decreasing by 11 basis points to 2.31%. Our decline in funding costs was largely attributable to $150 million in brokered CDs that matured in late December, as I mentioned on our last call. They carried a rate of 5.08%, and we were able to replace them by laddering $125 million in brokered CDs over the subsequent twelve months at a blended rate of 4.37%, representing a savings of 71 basis points. Similarly, we had $150 million in brokered CDs that matured in March that carried a rate of 5.18%. We were also able to replace and reduce these deposits with $125 million of CDs laddered over the next twelve months at a blended rate of 4.26%, representing a savings of 92 basis points. While this had little impact on our first quarter results, we anticipate that it will further reduce our overall funding cost and lead to further margin expansion. We have solid loan demand in each of our markets. However, we continue to be disciplined in our approach to loan and lease pricing, which has had the intended impact of muting growth. Our loan and lease portfolio grew at an annualized rate of 2.8% during the first quarter. We anticipate continuing to hold loan and lease rates higher as we work to maintain our loan-to-deposit ratio ideally within a range of 90 to 95%. The result of our continued discipline in managing both our loan and lease pricing as well as our funding costs was the continued expansion of our margin, which grew by 15 basis points during the quarter to 3.51%. Our ROA for the quarter was 1%, continuing our string of improving our ROA in each of the past four quarters. Our ROE for the quarter was 10.39%. Earlier this month, we announced the renewal of our stock repurchase program. The program authorizes management to repurchase up to $13.5 million of outstanding shares and expires on April 15, 2026. While we have not been active in repurchasing shares, we remain committed to increasing our tangible common equity. We feel it is important to have the ability to repurchase shares should it become prudent to do so. Last week, we also announced a quarterly dividend of $0.17 per share. Based on the quarter-end market close of $19.54, this represents an annualized yield of 3.48%. During the quarter, our noninterest expense was $27.1 million, which represents a $1.2 million or 4.1% decline from our linked quarter and is the result of improvement in nearly every noninterest expense category. We continue to focus on controlling those expenses that are within our control. The largest decline was in compensation-related expenses and was primarily due to five fewer FTEs, a reduction in benefit cost, and an increase in the amount of compensation deferred related to loan origination. Compared to the prior year's first quarter, noninterest expense declined $315,000 or 1.1%. And while the improvement did not include as many categories, the results had a similar impact. The largest decline in comparison to the first quarter of the prior year was also attributable to 19 fewer FTEs, a reduction in benefit cost, and an increase in the amount of compensation deferred relating to loan origination. This reduction in expense was partially offset by an increase in professional services related to projects and the conversion of our lease accounting and servicing system. Noninterest income declined $1.2 million or 12.8% in comparison to the linked quarter and $396,000 or 4.8% in comparison to the first quarter of the prior year. The primary drivers of the decrease from our linked quarter were a $655,000 decline in gains on the sale of loans, which are made up of mortgages and loans and leases originated by our leasing due to typically less mortgage and leasing originations during the first quarter coupled with the impact of higher interest rates. A $314,000 decline in ATM and interchange revenue due to the shift from pre-holiday to post-holiday debit card use, a $124,000 decline in loan management fees due to market declines during the quarter as assets under management decreased, and a $384,000 decline in BOLI revenue as we received $314,000 in proceeds from a death benefit in the prior quarter. These declines were offset by an increase of $616,000 in lease revenue and residual income generated by our leasing division. The primary drivers for the decline from the prior year's first quarter were attributable to a $396,000 decline in gains on the sale of loans due to the same seasonality and high interest rates previously mentioned and lower lease rate-related fees, which are included in other income. The combination of increased revenue and disciplined expense control resulted in an efficiency ratio of 64.9% for the quarter compared to 68.3% for the linked quarter and 73.8% for the prior year's first quarter. Turning our focus to the balance sheet, for the quarter, total loans and leases grew by $22.8 million. This represents an annualized growth rate of 2.8%. While we experienced increases in commercial and ag, both owner-occupied and non-owner-occupied commercial real estate and residential real estate, we saw small declines in all other loan categories. As we shared on previous calls, we continue to price commercial and ag loan opportunities aggressively and are being more conservative in how we price commercial real estate opportunities as we try to manage the overall mix in our loan portfolio. The loans we originate for our portfolio are virtually all adjustable-rate loans, and our leases all have maturities of five years or less. New and renewed commercial loans were originated at an average rate of 7.16% during the quarter, which is similar to our origination rate during the linked quarter. Loans secured by office buildings make up 5.25% of our total loan portfolio. As we have stated previously, these loans are not secured by high-rise metro office buildings; rather, they are predominantly secured by single or two-story offices located outside of Central Business Districts. Along with year-to-date loan production, our pipelines are solid, and our undrawn construction lines were $226 million at March 31. We continue to see loan opportunities in each of our markets, and we anticipate loan growth to be in the mid-single-digit range for the balance of 2025. However, loan demand may be impacted the longer the economic uncertainty persists. On the funding side, total deposits increased $27 million or an annualized growth rate of 3.2%. However, if we back out broker deposits, our deposit balance grew by $67.1 million or 2.5% for the quarter, which we believe is the result of our focus on deepening customer relationships. We did see some migration from noninterest-bearing accounts into higher-rate deposit accounts during the quarter, but our cost of deposits, excluding broker deposits, declined by 12 basis points from the linked quarter. Our deposit base remains fairly granular, with our average deposit account, excluding CDs, approximately $28,000. With respect to FDIC-insured deposits, excluding Civista's own deposit accounts, 13.1% or $419.8 million of our deposits were in excess of the FDIC limits at quarter-end. Our cash and unfunded securities at March 31 were $523.7 million, which more than covers these uninsured deposits. Other than $568 million of public funds, which are primarily operating accounts with the various municipalities across our footprint, we had no deposit concentration at March 31. At quarter-end, our loan-to-deposit ratio was 95.8%. Our commercial bankers, treasury management officers, private bankers, and retail staff continue to have success gathering additional deposits from our commercial, small business, and retail customers, as evidenced by our organic deposit growth. We believe our low-cost deposit franchise is one of Civista's most valuable characteristics, contributing significantly to our solid net interest margin and overall profitability. At March 31, our security portfolio was $648.5 million, which represents 15.6% of our balance sheet. The interest rate environment continues to put pressure on bond portfolios. At March 31, all of our securities were classified as available for sale and had $60 million of unrealized losses associated with them. This represented a decrease in unrealized losses of $2.5 million since December 2024. We ended the quarter with our tier one leverage ratio at 8.66%, which is deemed well-capitalized for regulatory purposes. Our tangible common equity ratio was 6.59% at March 31, an increase from 6.43% at December 31, 2024. Civista's earnings continue to create capital, and our overall goal remains to grow our capital to a level adequate to support organic growth. We did increase our dividend in the prior quarter, although we have not purchased any shares during the past five quarters. We continue to believe our stock is a value. Our capital levels remain strong. Recognizing our tangible common equity ratio still screams low, our previous guidance remains that we would like to rebuild our TCE ratio back to between 7% and 7.5%. To that end, we will continue to focus on earnings and will balance the payment of dividends and any stock repurchases with building capital to support our growth. During the quarter, we made a $1.6 million provision. We had charge-offs of $976,000, of which $800,000 was related to one of the nonperforming credits we discussed in the fourth quarter. That loan is expected to pay off today. The balance of the provision was attributable to loan growth and the impact historically low prepayments in our loan portfolio have had on our CECL model. Our ratio of the allowance for credit losses to total loans is 1.30% at March 31, 2025, consistent with 1.29% at December 31, 2024. Other than a general concern over the impact of macroeconomic uncertainties, the economy across Ohio and Southeastern Indiana is showing no signs of deterioration, and our credit quality remains strong. In summary, we are very pleased with the continued expansion of our net interest margin and our ability to control noninterest expense during the quarter. We are pleased with our team's success in attracting more lower-cost funding and anticipate low to mid-single-digit loan growth for the balance of 2025 as we temper loan growth to match our ability to fund that growth at a reasonable cost. Overall, 2025 is off to a solid start, and our focus continues to be on creating shareholder value. Thank you for your attention this afternoon and your investment. And now we will be happy to address any questions that you may have. Thank you.
Operator: Ladies and gentlemen, we will now conduct a question and answer session. If you have a question, please press the star key followed by one on your touch-tone phone. You will hear a one-tone prompt acknowledging your request. Your request will be polled in the order they are received. If you would like to decline from the calling process, please press the pound key. Please ensure you lift the handset if you are using a speakerphone before pressing any keys. One moment for your questions, please. Our first question comes from the line of Justin Crowley from Piper Sandler. Your line is open.
Justin Crowley: Hey. Good afternoon, guys. Hi, Dennis. Just wanted to start on some of the margin inputs. Obviously, a lot of success in moving core deposit costs lower with some of that brokered repricing. I guess outside of the brokered, you mentioned repricing in the quarter down to the, you know, 4.2, 4.3 range. How much opportunity is there left in the back book to see funding move lower? Has that largely run through at this point? And then how does that counteract, you know, against how aggressive you need to be on incremental funding?
Dennis Shaffer: Yeah. I think there's still opportunity there, Justin. On the deposit book, you know, we do anticipate maybe four to five basis points again this coming quarter of margin expansion as we, you know, we pretty much have been able to, on the higher interest rate stuff that we just organically had other than the broker, we have been pretty much that's almost been a, the Fed has cut rate, we've cut immediately too almost on a 100% beta on that stuff. We also have opportunity on the loan side. There's $110 million that will reprice over the next two quarters. So those rates, you know, we should pick up a couple hundred basis points as those loans reprice. And then new loan yields are still going on, as I said in my call, in the, you know, 7.15, 7.16, 7.25 range. So we think there's opportunity there. So we think there's opportunity to continue to expand the margin here in the near term over the next quarter or two.
Justin Crowley: Okay. So you mentioned that four to five basis points of perhaps NIM pickup in the second quarter. So you think that, you know, that type of acceleration could sort of continue through the balance of the year, at least for the next couple of quarters? And then, does it maybe stabilize, you know, just to throw a number out there, that 3.60 level? How are you thinking about that?
Dennis Shaffer: It does start to stabilize as we get deeper into the year. I think third quarter, you know, we had a little calculator that we try to run different scenarios on. I think, you know, we're anticipating maybe four to five basis points in the second quarter and two to three basis points in the third quarter right now. That's if rates stay fairly, you know, similar to where they're at today.
Justin Crowley: Okay. And so how sensitive would that be to, you know, potential cuts out of the Fed?
Dennis Shaffer: That model's in cut. We can model in cuts. I guess we've modeled in Ian, you wanna speak to that? Or Yeah. Justin, let's see him let's see him win him. So we factored in a cut in June, another one in September, and so the numbers that Dennis referenced include those.
Dennis Shaffer: So it's in that range of about four to five basis points second quarter an additional two to three basis points of expansion in the third quarter.
Justin Crowley: Okay. That's super helpful. I appreciate that. And then just moving over to expenses. I believe you had talked about some elevated spend last quarter tied to some staff turnover, and then the leasing conversion project you had mentioned. Did a lot of that or did most of that normalize back down in the first quarter? And if so, how should we think about further investment into areas like digital, you know, potentially offsetting the decline, in the base you saw this quarter?
Dennis Shaffer: Yeah. The professional fees did not they'll they'll go away going into the second quarter. Some of them, But we've as we if you alluded to, we do our investing back into the a couple of you know, some technology things that and other investments in we generally sometimes use consultants for those projects. So Ian or Rich, you wanna touch more on the expense side? Yeah. Happy to. This is Ian. So from where we were in Q4 in the fourth quarter, we had some adjustments within accruals, incentive accrual as well as just other accruals that related to FDIC expense. That made Q4 a little bit higher than normal. Q1, we started to normalize. We slapped some seasonal or onetime type expenses or professional fees as well as items related to annual audits. And annual meeting expenses. So we expect the second quarter to come in around the same level as the first quarter. That'll offset the reduction in professional fees that Dennis just mentioned, but also include our annual merit increases that we give to our employees. So that'll keep us about flat from where we are now, maybe up a little bit. And then in the third and fourth quarter, we'll have some of that additional expense coming in for the reinvestment into the company. Both in software expenses, professional fees, and some marketing expense. As we start to do the digital online account opening. And, Justin, just to get some color around some of the expense reductions that we had, They were attributable to the elimination of our after-hour call center and our call center. So, you know, we save some cost there. On that we were spending for the after-hours stuff and you know, some employee cost We also closed the branch in the fourth quarter So we really saw that impact of some FTE saves and there, we we we renegotiated our insurance and really kept the same level of coverage and picked up, you know, a hundred and $60,000 in in with with something like that. We did a record purge of that and eliminated some accounts that we were paying for. On our Jack Henry system. So that that's where all that expense reduction, a lot of it came from in the in the first quarter. And we're gonna continue to look for those things. The team has done a really good job of identifying things. So we've a few more things. But also we're and we need to do that because we're investing back into the company. Okay.
Justin Crowley: And then, you know, I guess just from, you know, a budgeting standpoint, just putting that all together, you know, is there a scenario where you're able to keep, you know, cost for the full year flat just for the full year when I, you know, I compare it to 2024. Is that within the realm of possibility if I think about maybe kind of stable expenses next quarter and then maybe, you know, at tick high or back closer to, you know, call it 28,000,000 a quarter through the back half? Is that realistic?
Dennis Shaffer: It is. Yeah. We we expect us to be less than 28,000,000 in the second half. Per quarter. Okay. Perfect. Merit increases usually are happen in the second quarter. So but we got some things that we think help offset that as well. Okay. Great. I was right. We are making our our focus on revenue generating investments.
Justin Crowley: Okay. I appreciate the color there. I will step back. Thanks so much, guys.
Dennis Shaffer: Thanks, Justin.
Operator: Our next question comes from the line of Brendan Nosal from Hovde Group. Your line is open.
Brendan Nosal: Hey. Good afternoon, folks. Hope you're doing well. Hey, Brendan. How are you? Good. Good. Good. Thanks for all the detail you you just offered on on margin, and expenses. That's that's super helpful. Maybe turning to the the fee base. Seemed like it was a bit lighter than I was thinking for the the quarter. And down a bit year over year. Can you just kind of walk through the outlook for the various line items and kind of wrap it an overall expectation for fee income in near term? Thank you.
Dennis Shaffer: Yes. We do think there'll be a bounce back here coming in the second quarter. Mortgage is is usually late for us in that in that first quarter. It was a little bit lighter than the first quarter a year ago, but it wasn't way off. And we do expect that to to pick up. Pipelines appear to be pretty good. So we we do pick we'll expect that to pick up some. And then the leasing has been you know, it's it's been a little choppy, you know, trying to get a handle on on that but we do expect that that was a little bit lighter than we had also anticipated. And we do expect that volume to pick back up. As we go into the into the next into this this as we're into this second quarter. Yeah. Just adding to that on top of that would be the wealth management fees that are still behaving as we would expect, except the AUMs is dropping because of the market volatility. Right.
Brendan Nosal: Yeah. Yeah. Of course. That makes sense. Okay. Excellent. Maybe sticking to the the topic of fees, just, more of a a modeling question here. Do you folks happen to have the, the gain on sales split between mortgage and CLF for the quarter, both in terms of volumes and fee revenue?
Dennis Shaffer: Yes. Yeah, I have that in front of me. So of the $600,000 gain on sale in the first quarter, 45% of that was from the leasing and finance business. 55% for mortgage. That works out to be about 270,000 per CLF. And $330,000 per mortgage. In terms of the volume that was sold on mortgages, about $19,000,000 and the volume that was sold for the leasing, about 7,600,000.0. So mortgage is comparable to the first quarter of twenty twenty four. Which was 20,000,000 at the time 19,000,000 for this quarter. And the leasing was 7,600,000.0, a little bit less than this down last year. Was 12,600,000.0 in the first quarter of last year. What we did see was the gain on sale on the mortgage side softening We saw an average of 1.75% gain on sale in the first quarter of this year compared to two point one zero the first quarter of last year. Okay. That's that's helpful color. I appreciate it. Thanks for taking the questions.
Dennis Shaffer: Thank you. Thanks, Brendan.
Operator: Our next question comes from the line of Terry McEvoy from Stephens. Your line is open.
Terry McEvoy: Hi. Good afternoon, guys. Hi, Terry. Hi. The loan yield the increase in the loan yield up nine basis points, really nice to see. And I'm just wondering, there any interest recoveries or anything contributing to that? Or was that just new loans repricing higher and then kinda fixed rates do doing the same thing.
Dennis Shaffer: Yeah. Just there there was nothing unusual in there. So it's just new loans, repricing higher. You know, our team's really staying disciplined in their pricing. So, you know, they've really done a nice job there. And, you know, so and we think we'll get continue to get some benefit there. You know, as I mentioned, a hundred and 10,000,000 of loans repricing over the next two quarters and then new stuff going on, you know, those rates you know, we we think there's room for improvement there.
Terry McEvoy: Yeah. No. Real nice to see. And then last quarter, there's the the two loans the multifamily loan under contract and the C and I loan that was gonna be back in compliance. Dennis, you mentioned one of them. Which one of the two loans was gonna be resolved tomorrow, and then what's the status on the other one?
Dennis Shaffer: The the multifamily should be resolved today. Or today or tomorrow, we should say. We we're pretty confident that's going to go through. It was extent we had thought it might be cleared up at the end of the first quarter. But the the buyer wanted to extend that. It's a participation loan. The bank's got together and said, we'll extend it, but you gotta put a a significant deposit down to do that. And they went hard with a significant amount of money to be able to extend that. So we're real confident on that. And and, you know, I I was hoping to have the answer that it had paid off before this call. The other loan is more of that I mentioned on the last call, it's more of a a community loan, and we're not at all concerned with it. It's it's just taking a little bit of time to to work through some of their issues. The the project was bonded, so we're waiting to hear from the you know, the bonding company And then and, hopefully, we'll continue just kinda continue to work We'll have greater clarity on that, hopefully, in the next three or four weeks.
Terry McEvoy: Okay. Then then maybe one more. Dennis, what are you hearing from kinda commercial borrowers or real estate developers? Any sense of you know, kind of cautiousness in in putting things on pause given the the the tariffs and and the trade situation?
Dennis Shaffer: Yeah. So we've been reaching out to different customers and it's really you know, it's been very enlightening. There are some businesses that view it as a positive and others, you know, view it as a negative. I would say the sentiment has been kind of a wait and see type of attitude for most of our borrowers, at least as to what the long term effect will be. I do think it'll slow some of the CapEx spending from some of our business you know, from some of our business borrowers in the first and, you know, here in the near near term this quarter, maybe next quarter, as they as they just wait to see what happens. But so, you know, we think it impacts maybe people that, you know, are selling kind of the finished product more so than those that are, you know, selling a piece or a part. You know, you know, those customers seem like that as we've talked to them, they're able to pass on that cost The the the person selling that in end piece or that finished product to the end user seemed a little bit more concerned whether they're gonna be able to pass that on or not. But overall, I just think it you know, it's more of a wait and see type approach. And I do think it'll slow some CapEx spending.
Terry McEvoy: Great. Thanks for your insight. Thanks, Terry.
Operator: Our next question comes from the line of Manuel Navas from D.A. Davidson. Your line is open.
Manuel Navas: Hey. I appreciate the color on kinda sentiment. Is that evident in current pipeline? You said there's a little bit of CapEx spending slowing a bit. Is that already showing up near term on the second quarter? And then can you kind of talk about the range of growth What could drive to the high end of your your guide, and what could drive to the low end of of your guide?
Dennis Shaffer: On the on the loan book, are you talking Manuel?
Manuel Navas: Yes. Yes. Loan book.
Dennis Shaffer: Yeah. Okay. Okay. I don't think it's in the you know, the current pipeline, I don't think it has much impact at $231 million. I think those people are far enough along and they they're not you know, stopping all of a sudden. So I think it has. But I think, you know, from this point on, may slow a little bit of that that that CapEx spending. You know, as far as what's know, our economies are pretty good here in Ohio and Southeastern Indiana. There's just a lot of activity still going on. Most of the the, you know, the the Central Ohio and then know, the Cincinnati market and stuff, they still are getting a lot of technology driven companies. Microsoft has announced a significant you know, investment into Central Ohio, Google, and Amazon, and you know, they're all building you know, building facilities down there. And then you got Andrew, the defense contractor, contractor and stuff. So as those things take hold, I think it gonna continue to to to, you know, fuel the economy and the housing demand. You guys see a pickup You know, there's a lot more, you know, that you we see builders you know, you know, building product and stuff. So I I think things like that will continue to fuel things, and it benefits really the whole state because you know, as you have companies like Vanderall or Intel or something, they've got suppliers, and those suppliers tend to locate closer to where they're their you know, building at. And that that helps It may not be in that exact market, but it could be three or four counties away, which benefits, you know, when our footprint covers really the whole state and Southeastern Indiana. So I think those things will help us as we move forward. In our Northeast Ohio market, that's been a really good market for us. And Sherwin Williams just completed, you know, their building downtown building, you know, their new headquarter building. Where they're moving into and and they'll they'll, you know, add a few jobs to that. And it's things like that, I think, that this will continue to help our overall economy here for the for the short term. And, Manuel, this is Richard. I know Dennis talked about last call, and I think on this call too. I mean, a governor for us, I mean, the thing that kinda gauges whether it be more loans or less loans is really our ability to fund those loans. And whether or not we can attract, you know, the low cost deposits. We had good success if we continue to have that success. And if we're able to implement the the the digital or online account opening successfully like we intend to in the back half of the year, mean, that that really would, I think, allow us to kinda hit the the upper levels of kind of the projections that I shared.
Manuel Navas: Right.
Dennis Shaffer: That that's helpful. In your So the note you should write down is it only gets better. Well, we we we we have had three consecutive quarters of pretty good deposit growth. Yeah. Even though, you know, you look if you look at just the deposit growth we had quarter, remember that we reduced those broker deposits by 50 or $60,000,000.
Manuel Navas: What what is what is contemplated from the business in your growth guide?
Dennis Shaffer: And the fee guide? I know there's a little bit of a bounce back in fees. This is also a seasonally slower leasing quarter. Just kind of talk through kind of expectations for the year from leasing.
Dennis Shaffer: Well, leasing, I think we're projecting, about a hundred and $15,000,000 or total of originations. And I think through the first quarter, that that was the the slowest quarter for them. So I think, you know, I think we what we do in leasing revenue production, $1,617,000,000, or 20,000,000. And we we don't have that number, but that would have been their slowest quarter. So we do anticipate that that to pick up as the year goes on if that gives you any don't we don't have the exact numbers, but I if that gives you any feel for that.
Manuel Navas: Okay. Yeah. We can That's helpful. And and to tell them I have.
Dennis Shaffer: Sell about half. Okay. That that was the other piece. Okay.
Manuel Navas: That that that's helpful. A lot of my other questions have been kind of asked and answered, so I I appreciate the commentary today.
Dennis Shaffer: Okay. Thank you.
Operator: Again, if you would like to ask a question, please press Our next question comes from the line of Emily Lee from KBW. Your line is open.
Emily Lee: Hi, everyone. This is Emily stepping in for Tim Switzer. Thank you for taking my call. Hi, Emily. How are you? So I wanted to ask about deposit repricing. What are your expectations for deposit repricing if we were to get a scenario with saying no rate cuts? I know you mentioned that you factored in two rate cuts into your guidance.
Ian Whinnem: Yeah. So we have this is Ian. Emily. So we have in terms of retail CDs that are coming up for maturity, and we're probably somewhere in the neighborhood of about a hundred to a hundred and $40,000,000 a quarter that are coming up for maturing. We should be picking up maybe 10 to 15 basis points on each of those as the comfortable renewals We have put our highest rate on the shorter term. So our highest rate right now is on the seven month CD. We plan on keeping it that way just with all the uncertainty and volatility. That'll keep us protected from that standpoint.
Dennis Shaffer: Also, with our online account opening software, solution that we'll be launching in July. We expect our deposit cost would go up slightly, but our total cost of funding should decline. So so we'll raise we'll raise our own deposits organically through probably some CDs and stuff and pay off that more expensive borrowed money or brokered deposits.
Emily Lee: Okay. Great. Thank you. And given that credit metrics improved a bit this quarter, can you give some details on your expectations for credit going forward, especially given the macro uncertainty?
Dennis Shaffer: You know, we we still feel good about our our loan book. I mean, delinquencies are actually down quarter over quarter and they're still pretty close to historically low levels. You know, there's always some one offs and stuff. We've had some repricing of of the you know, sales. Some of the we have repriced higher, and that's caused some loans to be downgraded. Because of you know, the the rates are higher and the cash flow is you know, doesn't quite meet our standards, but it's it's not significantly low thresholds. And in the same regards, so we although we've moved some credits in, we're moving credits out. So you know, we we feel good where the credit is. You know, our allowance is really healthy. We have you know, 1.30% in the a in the allowance. And we we could charge off. We we have you know, we basically could you know, we have eleven years of if we took our charge offs, that we've that we've had, we got eleven year run on If we took out all, know, took out is that to criticize? That's that's the net charge offs. That's the net charge offs. Twelve months. Yeah. So you take the net charge offs over the last twelve months. If you took what those were, there's there's eleven years in that allowance.
Emily Lee: That's great. Thanks so much.
Dennis Shaffer: Welcome.
Operator: There are no further questions at this time. Mr. Shaffer, please continue.
Dennis Shaffer: Okay. Well, thank you, everyone. I just wanna recap kind of in summary just tell tell you how pleased I am with just the with the quarter. I wanna thank everyone for joining the call. You know, our our quarter results were really attributable to the hard work that all of our team put in over the past several months and continues to put in. While we're pleased with the results of the first quarter, we are confident that our strong core deposit franchise and our proven disciplined approach to managing the company really positions us well for future success. So I just thank you again for joining the call and look forward to talking to everyone in the next few months to share our second quarter results. So thank you for your time today.
Operator: Ladies and gentlemen, this concludes the call for today. Thank you for participating. You may now disconnect.